Operator: Hello ladies and gentlemen, and thank you for standing by. Welcome to the Potash Corp Second Quarter Earnings Conference Call. At this time, all call-in participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions) Once again, webcast participants are encouraged to submit a question to management online from your audio play or pop-up window. You can simply type in your question and send it. These instructions will be repeated prior to the question-and-answer session. (Operator Instructions) I would like to remind everyone that this call is being recorded on Thursday, July 25, at 1 pm Eastern. I will now turn the conference over to Denita Stann, Vice President, Investor and Public Relations. Please go ahead.
Denita Stann: Thank you, Brock. Good afternoon and thank you for joining us. Welcome to our second quarter earnings call. In the room with me today, we have Bill Doyle, our President and CEO; Wayne Brownlee, our Executive Vice President and Chief Financial Officer; David Delaney, Executive Vice President and Chief Operating Officer; Joe Podwika, Senior Vice President and General Counsel; Mike Hogan, President of PCS Potash; Brent Heimann, President of PCS Phosphate and PCS Nitrogen; and Stephen Dowdle, President of PCS Sales. I'd like to welcome the media who are listening in and remind people that we are live on our website. I would also remind everyone that today's call may include forward-looking statements. These statements are given as of the date of this call and involve risks and uncertainties. A number of factors and assumptions were applied in the formulation of these statements, and actual results could differ materially. For additional information with respect to forward-looking statements, factors and assumptions, we direct you to our news release and our most recent Form 10-K. Today’s news release, which is posted on our website, also includes a reconciliation of certain non-IFRS financial measures to their most directly comparable IFRS measures. I'll now turn the call over to Bill Doyle for some comments and then we will go to questions.
William J. Doyle: All right. Thank you, Denita, and good afternoon, everyone, and thank you for joining us for this discussion of Potash Corp's second quarter performance. We appreciate this opportunity to review our results and provide an update on market conditions in the fertilizer industry. Global demand for all three nutrients remained positive in the second quarter. This was especially true for potash as the volume rebound we anticipated at beginning of the year continue to unfold. Even after strong first quarter movements, potash shipments accelerated during the second quarter as all key markets were engaged. In North America, a late spring created some uncertainty but the commitment of farmers to proper fertilization and our ability to deliver was evident as soon as the planting window opened. Sales volumes to this market far outpaced those of the previous year for both the quarter and the first six months. With fertilizer buyers operating in a just-in-time environment, we were able to showcase our logistical and distribution capabilities by quickly and efficiently responding to customer needs. Potash shipments from Canpotex to offshore markets maintained a record pace. However our second quarter volumes trail goes to the previous year, because of two short-term factors, namely a decline in our Canpotex allocation and also the timing of sales from our New Brunswick facility as a larger percentage occurred during the first three months of the year. Still, our total first half sales volumes outpaced 2012. A strong value story also drove our Nitrogen results as we realized the benefits from the resumption of ammonia production at Geismar. This new capacity translated into increased sales of downstream nitrogen products and helped to improve margins by reducing our reliance on higher cost third-party ammonia. The volume story was positive, but we did face some headwinds in pricing across all three nutrients. As a result, we delivered earnings of $0.73 per share for the second quarter and $1.37 per share for the first half. Both those total surpassed the reported earnings for the same periods in 2012, although the prior year totals included an impairment charge related to our Sinofert investment. Looking ahead, we believe a number of positive longer term developments are taking hold. Most significant among these is the rebound in demand. We continue to anticipate that global Potash demand for 2013 could approach the previous record level of approximately 56 million tonnes even with a weak Indian market. This is an encouraging sign. North America is one of the markets leading this demand resurgence. Potash shipments and applications rose sharply during the 2013 fertilizer year which closed at the end of June, but there is still significant potential on this front. Many people characterize North America market as being mature. But we believe this region has growth potential in the years ahead as farmers renew their efforts to address declining potassium levels in their soils. The data on potassium depletion on North American farmland is indisputable. Soil scientists are speaking more pointedly about the need to correct this problem. We are playing a key role in education, working alongside our customers to help ensure people understand the value of addressing this gap. We introduced our eKonomics website in the recent weeks and its aim is to provide the central tools that address the science and economic returns of soil fertility. When we look more near-term, our sales team just returned from the Southwest Fertilizer Conference in San Antonio this week. And the mood among our customers is good. We know the dealer network has limited product in place and the buyers need to respond for the upcoming fall season. Our new summer field pricing has been positively received, and we’re beginning to see strong uptake that supports our expectation of record second half shipment to this market. In Brazil, buyers are actively procuring additional potash supply ahead of their key planting season. Although weakening real has caused some fertilizer buyers to move a little more cautiously the currency shift generally provides offsetting economic benefits for export oriented growers as they see the relative value of their crops rise. We continue to see a positive story unfolding and maintain our estimates for record shipments to this market for 2013. In China, Canpotex recently completed the final shipments against its first half agreement. Not surprisingly attention has shifted towards the next contract and there is no shortage of speculation around this topic. I can report that Canpotex's negotiations are progressing well and we anticipate a contract by the end of this quarter. Unlike other major markets where demand has rebounded closer to historic levels, India remains a challenge. As we have said previously we attribute the issue in India to politics, not agronomic need. While political motivations can change, the need to feed more than 1.2 billion people in that country does not. The nutritional value and quality of India's crops are suffering and recent data suggests yields are declining from already low levels. It is clear that India needs to improve its approach to crop nutrition, but it is a complex issue, which makes it difficult to identify when necessary change will take hold. This year's early monsoon set the stage for increased planted acreage and India's fertilizer consumption numbers in June were encouraging. Unfortunately the government's efforts to control subsidy dollars along with the weaker rupee are making it more expensive for farmers to purchase potash. Even as these competing variables play out, we expect shipments of existing Canpotex tonnage for the balance of 2013 to move as previously announced and surpass 2012 shipment totals. Asian markets outside of China and India are an important part of our story and their demand increased sharply in the second quarter. Canpotex secured new agreements with Japan in early July, as we moved into the back half of the year favorable economics for growers in this region are expected to result in shipments outpacing last year’s levels. Demand is only one side of the equation and we continue to assess supply conditions matching our production to global demand today while preparing to meet increased need in the years ahead. At Potash Corp. our third quarter production will reflect normal and necessary maintenance downtime. We also are planning to operate our Lanigan and Rocanville facilities at reduced rates for the balance of the year. As a result we expect to exit the third quarter with our inventories at their lowest mark in years and leave 2013 with supplies well below historical levels. As these conditions unfold we have adjusted our gross margin guidance estimates in each of our three nutrients to incorporate the impact of price movements in the second quarter. For the third quarter, we now forecast net income per share to be in the range of $0.45 to $0.60 per share and earnings for the full year between $2.45 and $2.70 per share. We understand that the perceived lack of a near-term catalyst to rapidly increase potash volumes and prices have left some investors on the sidelines for the time being. Yet we have always maintained that fertilizer is a long-term play. One that is built on the world essential need to improve food production even though it includes occasional fluctuations or plateaus we believe growing populations and improving diets around the world create an undeniably compelling platform for an efficient well placed producer. Our business is difficult to replicate. [Beyond the strength] [ph] underlying long-term increases in food demand, the challenges for new entrants to the potash business are unique and significant. It is expensive for newcomers and it takes a long time to become profitable. We have seen a lot of tire kickers in recent years, but they are not bringing much in the way of new production to the market. Nearly 8 million tons of potash capacity expansions have been canceled or deferred over the past year as the economics of building even new brownfield supply make the introduction of new greenfield projects more difficult than ever before. That leaves our lower cost, nearly complete projects as one of the best sources to meet new demand in the years ahead. Even at current prices, returns continue to be strong and our cash flow is significant. Moreover as we begin to ramp up our projects, our potash costs are beginning to improve and we believe there is more opportunities to gain efficiencies as we move forward and our people are focusing on delivering on that. In the second quarter, our team at Cory did an excellent job of safely completing a successful Canpotex run, improving our stated 3 million tonnes of capacity. That will move our entitlement from 47.7% to 51.5% for the second half of 2013. Our focus now turns to Allan and we are working to be in a position to execute that run in the first half of next year. We expect by the time our Rocanville facility run is complete, we will represent an even larger share of Canpotex’s total sales. Potash business is an essential industry with enormous potential. Success and sustainability in our business isn’t easily tracked quarter by quarter. It’s built on sound strategy, disciplined execution, and patience, qualities that have proven to be effective throughout our Company’s history. Our confidence in the future can be measured by our commitment to returning capital to our shareholders. During the second quarter, we enhanced our dividend again and now provide investors with the highest dividend yields among our North American peer group. Yesterday, we also announced our intention to utilize our strong cash flow and balance sheet to repurchase up to $2 billion of our outstanding shares. Another important step that we believe will enhance long-term shareholder returns. We remain focused on building our company that can deliver long-term benefits to all of our stakeholders: to you, our shareholders, who provide the capital to grow our business as well as our customers, employees, and communities. Thank you for your interest in Potash Corporation. I’m joined today by our senior management team and we’ll be happy to answer your questions.
Operator: Thank you, sir. Ladies and gentlemen, we will now conduct the question-and-answer session. (Operator Instructions) Our first question today comes from Adam Samuelson of Goldman Sachs. Please go ahead.
Adam Samuelson – Goldman Sachs & Co.: Yes, thanks. Good afternoon. I was hoping you can provide some more detail on the updated guidance, and specifically bridge the upper and low-end of the new potash segment guidance, and maybe what has changed relative to past? Is it simply just reflective of a new pricing environment in the second half or new price assumptions and/or has there been changes on the operating cost side as well? Thank you.
William J. Doyle: The two big things would be China, if you don't have a contract to the end of the quarter, you're not going to have - make shipments. So that's reflected there, and then second quarter pricing, which will play out in the third quarter. Those would be the two big items.
Operator: The next question comes from Chris Parkinson of Credit Suisse. Please go ahead.
Christopher S. Parkinson – Credit Suisse Securities LLC: Good afternoon. Can you kindly walk us through what you're presently seeing in both Southeast Asia and Brazil relative to about three months ago from both the pricing discipline and overall demand perspective, and how you believe FX plays a role into this? Thank you.
William J. Doyle: All right, Chris. I'll ask Stephen Dowdle to make a comment there.
Stephen F. Dowdle: Chris, in Brazil during the first half we saw quite strong demand. The imports totaled about 3.6 million tonnes. It's up 15% year-over-year. Brazil got off to quite a strong start as we entered, got into the latter part of the second quarter after this strong momentum we started to see some competitive pricing pressures in Brazil and we have seen some price erosion in that market despite the very strong demand. As we now enter into the third quarter in Brazil, the real is having buyers be cautious and we do expect to see that pace slow down a bit, but we do expect overall this year the total volumes to remain quite robust and we’ll very likely surpass last year’s 7.3 million tons of imports. The pricing outlook for the second half will depend on the market forces in play at that time, difficult to predict, but we certainly see that. We don’t expect to see prices being further eroded, but, this we’ll have to wait and see how the second half progresses. In Southeast Asia, the demand has been good. We have seen palm oil prices come down a bit. The plantation sector is still very profitable. The currency has again – currency weakness has caused some caution on the buyers, but overall the demand has been good and we expect as we get into the plantation tender season during the third quarter and the fourth quarter we expect the calendar year, the volumes to be quite robust.
William J. Doyle: Yeah, Chris, the only thing I would add on the FX side is there tended to be an offset. If you look at Brazil, you got about R$2.25 per dollar. Yes, it’s more expensive to import potash, but you get that back in your bean exports or whatever you might be exporting. So there is an offset there.
Operator: The next question comes from P.J. Juvekar of Citi. Please go ahead.
P.J. Juvekar – Citigroup Global Markets Inc.: Yes, hi, good afternoon. A couple of questions related to China. First on potash. The price has come off there since May. I was wondering if you can tell us why the prices are declining. Is it the lower demand or is it anything to do with weather there? And then secondly, on urea and DAP, what are your export forecast out of China this year? Thank you.
William J. Doyle: All right. I’m going to let Stephen Dowdle answer the urea and DAP exports out China. I’ll try and touch on pricing in China. One of the issues in China has been that they had also a late spring like we had in the U.S. and that resulted in some inventories being carried over here in the second half, which is one of the reasons why there is a delay in the contract. The pricing in China, the deterioration recently, which we now see stabilizing a little bit, has caused - really a multiple cause, you have Qinghai Salt Lake lowering the price and then that price being met by the Russian rail, which was has been a problem for the last couple of years. The Russian rail to be so competitive with whatever the domestic movement in price would be seems to me to be a little bit off cue because when you think about it that impacts the CFR prices, not only China but around the world. So you would think that they would fix the rail pricing after they would conclude their ocean pricing, but that’s been part of the problem and I see that now they’re reducing rail shipments into China and we’ll see how that plays out in the future. Steve, you want to talk about urea and DAP exports out of China?
Stephen F. Dowdle: Yes. We’ve seen quite a significant increase this calendar year, both urea and DAP/MAP exports. Urea exports totaled about 1.3 million tonnes. That’s up about 1 million tonnes year-over-year. And DAP/MAP exports were up about 86%, totaling about just under 800,000 tonnes. So it is a significant increase. I think that it is a reflection of the fact that there is surplus capacity in both urea and DAP/MAP in China. They have widened the low-tax export window to facilitate these exports. If you look, China producing approximately 73 million tonnes of urea and consuming about 58 million tons of urea that leaves about 15 million tonnes available for the export market. So these coupled with some recent decline in coal prices and cost of urea production going down truly provided an environment for these exports to take place
Operator: The next question is from Joel Jackson of BMO Capital Markets. Please go ahead.
Joel D. Jackson – BMO Capital Markets: Hi, thanks. I want to ask for capital allocation. What leverage levels are you comfortable with [tax] [ph] [inaudible] your renew share repurchase program, and are you comfortable right now with your current dividend payout ratio which is somewhat in line with a lot of your European competitors? And finally, what’s the magnitude of repurchases, share repurchases, have you incorporated into the high-end and the low-end of your 2013 EPS guidance? Thanks.
William J. Doyle: All right, Joel. I’ll ask Wayne to comment on that question. Wayne? 
Wayne R. Brownlee: Answering your last question first, we anticipate that we will repurchase shares off the market on a reasonably even pace over the course of the year. And so, that should – if we do that should generate an EPS impact of this year around $0.02 a share and of course the annualized benefits probably around $0.06 a share. I think that we’re reasonably happy with the dividend payout ratio right now and at this current time obviously CapEx will be coming off again next year, and we will be reassessing both share repurchase programs and dividend payouts at that time again next year once that happens.
William J. Doyle: I’d just say to follow on that we have a promise that we will return more cash than any other competitor in our sector and that’s our intention over the long-term.
Operator: The next question is from Jacob Bout of CIBC. Please go ahead
Jacob Bout – CIBC World Markets, Inc.: Good afternoon. Bill, maybe give us your thoughts on the potash pricing long-term, and we’ve been on a declining trend here for sometime, but, yeah, we’ve seen record grain prices. And I guess, my question is what turns this around in or if this over-supplied market continues, is it inevitable that we drop down to the marginal cost production?
William J. Doyle: Demand will drive the potash price and of course we've been in a flat period now for almost six years and it's a hangover of the Great Recession. We need global growth in our business, no doubt about that. And so, we think that this is the first growth year over the next four to five years. We think that 2013 will when we look back that will be the first growth year that you see and then we think that we're going to see some stronger growth years going out. India has been a problem. We show a little graph in the slide package we sent out to you that without India the market actually has grown 3.5%, but India has been down three successive years. That's not sustainable, they know that’s not sustainable return of demand in India is inevitable. You do have an election there next year, which has to occur before May 31 of 2014. They're already seeing issues in terms of nutritional quality of the grains that they're producing and their yields remain very low, N-K ratio of nine to one. So I would say that we need India to come back to what we say normal demand. And of course there is a lot of growth for demand there, but demand basically will be part of the equation. And then the fact that you have projects out there, as I said, over 8 million tones of projects have been delayed and then of course, you’ve got discussion about greenfield projects and there’s been no shortage over the last seven years or so, people talking about greenfield and promoting greenfield, and when you look at greenfield, the economics just don’t work, and as you have to do is run the numbers on those projects and these aren’t numbers, anybody can run the numbers and you quickly see there isn’t a return on investment. Any project, when you look at a greenfield project, any project must be analyzed by running a sensitivity analysis. Greenfield potash projects are extremely sensitive to both volume and price. And so, you’ve have to start with today’s price, and so if you look at the average price at the end of the second quarter, $356 and that was down $77 from last year $433 at the end of 2012 second quarter, and most analysis I’ve seen of greenfield projects, we’ve got the price all wrong. So you got to start with what is actually going on, and so, if you think about where we are today, today’s potash market is not in short supply. So, a large addition to global capacity will have an impact. And when you’ve got a project, you can’t assume a perfect world. A project is not necessarily come on stream, on time, and on budget and you can look at K+S, as an example of that. And the full production is not reached immediately, just automatically produced from day one, your full production takes a lot of time and effort, ramp up time. And then of course, you don’t get to sell all of your production, a lot of people just think that the seas are going to part and they’re going to be welcome through to the promised land and sell everything that they’ve got, and all the competitors are just going to hide and run away and not be there and give up their customers that they’ve had for decades. And then you have to think about the impact the new capacity has on price, and to assume that a large element of new capacity will have no impact on price, I think is pollyannish at best because the real world just doesn’t work that way. And so when Boards take a look at these projects and it’s a sober thing to look at these huge capital investments and Boards when they do that they do run sensitivity analyses and they are not led around by project managers or engineering firms, whose jobs depend on the project. So it’s a combination of demand returning and supply maybe not being as robust as some people estimate.
Operator: The next question comes from Vincent Andrews of Morgan Stanley. Please go ahead.
Vincent Andrews – Morgan Stanley & Co. LLC: Thanks. A follow-up question on the Brazilian market, how much, do you think you gain share in Brazil this year or year-to-date, and do you think you will be able to maintain your existing share in the second half given as you’ve noted that there is a lot of competition entering and we’ve seen some price weakness.
Wayne R. Brownlee: Yeah, Vincent what I’d say is our market share year-to-date is a historical share. We have about a third of the Brazilian market Canpotex, New Brunswick combined and that’s no different from where it’s been historically. I think that we’ll probably come out pretty close to that level by the time the numbers are counted on 2013. Brazil is really a very, very positive story. We expect record volumes there this year, and I mean it’s just a really great growth market. It fits us very well both from a Canpotex point of view and from a New Brunswick point of view, New Brunswick being the closest mine to Brazil in terms of shipping days. So we see our share there being maintained.
Operator: The next question comes from Ben Isaacson of Scotiabank. Please go ahead.
Ben Isaacson – Scotia Capital Markets: Thank you very much. Bill, a quick question on Canpotex. We’ve seen Canpotex, sorry I guess shipments from Canada, so Canpotex plus New Brunswick exports up 30% year-to-date while global shipments are only tracking 6%, 7%, higher. So clearly Canpotex is gaining market share from last year. So my question is, where are you gaining the market share? Why are you gaining it? In other words what strategy is Canpotex employing that’s different than last year, and which tonnes are being displaced? Thank you.
William J. Doyle: Stephen, you want to have a go at that one.
Stephen F. Dowdle: Sure, I think in – if you look at year-over-year and in the first half of this year, 2013 versus first half of 2012 there was strong engagement during the first half and particularly in the Canpotex markets where Canpotex and PCS New Brunswick are very well suited to supply. I think as we look at the entire year and certainly as we analyze 2013 and what's going to occur here first half, second half, we don't really see any significant difference from the traditional market share that Canadian exports have had historically. So, yes, in the first half it was certainly stronger than in the first half of 2012. Again, due to the engagement of China and India and Brazil, but as we look at what we anticipate in the second half when the year is over, we just don't see that there is going to be any significant difference.
William J. Doyle: Ben, it's not a zero-sum game where you only concentrate on pricing, don't have any volume. Our strategy has not changed in any way, shape or form. We clearly believe price is more important than volume. We always believe that. We will continue to believe that. I think if you look at some of the places where we are up, little bit better in India in terms of total what we were awarded there, I think a lot of people realize around the world the value of what Canadian potash brings to the table. You’ve had a very stable supplier that really works hard on the logistics and being able to deliver first quality product everyday, I mean, the consistency of what we deliver is, our customers tell us it's the best in the business. We work very hard at relationships. So I don't think a lot of people really have a good enough appreciation for that in terms of some of our competitors who don’t think relationships are important at all. They just think that it’s all about price and if we go in at the same prices as some of our competitors overseas we win. I mean just every time we win because of the strength of the relationships. When you grow up with people and you know them for years and years and years, it’s a lot different than the guy that just comes off the street and puts an anvil down with some price, makes threats if you don’t do business with them. Those things people remember and I do think that overall as Stephen said, by the end of the year you will see our market shares more on a traditional basis. We did have a good first half of this year, but we balance it, and we always differ the price as the leading part of our strategy.
Operator: The next question comes from Mark Connelly of CLSA. Please go ahead.
Mark Connelly – CLSA: Thank you. Bill, coming back to your comment about returning more cash long-term, your potash investment is nearly over, your nitrogen in ongoing. Can you talk about your projects and spending over the next several years, and the second side of that is, you’ve been very clear about pursuing some M&A and if you do find attractive deals, would you then maybe not return more cash than everybody else?
William J. Doyle: I’ll ask Mike Hogan to comment on our potash projects and I’ll comment on M&A.
Michael T. Hogan: Hi, Mark. We’re estimating for the balance of – for 2013 spend on total expansion $766 million. We’re about 42% through that spend right now and then we’ll rapidly come down on the downside 2014 for 400 million or so and then we will pretty much extinguish on the expansion in 2015 for the Potash purchase.
William J. Doyle: So we are 88% finished at this stage, which is a huge advantage for us I can tell you that versus anybody else who is out there. In terms of your question regarding capital allocation, M&A, I will tell you that, we had a lot of people suggest that we leverage up and have $10 billion share buyback and I know some people are disappointed and we didn’t have $10 billion share buyback, but that’s just not the way we do think. And we are steady as you go and I think we have been steady on the dividend, this is our fifth share buyback here for this management team and we do what we say we are going to do. At the same time, we like flexibility, so we try to have a long-term approach and we think that that’s the best way to serve our long-term shareholders and all of our stake holders. So it’s not anything that’s a change from our past historical approach to this. The good news is with the CapEx winding down, we have a lot more opportunity – lot more capability I should say to give cash back to our shareholders and you’re going to see a consistent approach there.
Operator: The next question comes from Mark Gulley of BGC Partners. Please go ahead.
Mark R. Gulley – BGC Partners: Bill, I wanted to get a little bit more detail on your statement that Potash Corp. is a low cost producer when it comes to Potash. So in terms of cost dollars per tonne, COGS per tonne on a cash basis, how would you define that and then given the downtime, you have to take here for a bit when can you return back to a level that would make you the low cost producer of KCl?
William J. Doyle: Hi, I am going to have David Delaney to respond to that question Mark.
David Delaney: Yeah, hello, Mark. In our release, our cost in the third quarter were $114 fully loaded, below that line is about $24 of depreciation. For the six months, we are at $124 versus $142 and for the year, with our anticipated downtime for the second half, we’re looking at right around $130 which again has about $22 to $24 of depreciation in that number which is 16% to 17% below last year, of course, this year we’re not taking the Esterhazy tonnage.
William J. Doyle: Yeah, what I’d say Mark also if you look at the expansions, dating back to 2003, the first half of our expansions, we did at $500 a tonne. The second half of our expansions we’ll do it at about $1000 a tonne. You know if you’re looking at other players out there I mean Agrium has publicly stated that they’ll be at $1,500 a tonne. And they ratchet up from there and of course, Mosaic delayed the last 2 million tonnes of their expansions and then those are all Brownfield and then you look at any other players and it moves up from there. So, there is no question that our competitive position over the last 10 years during this expansion program has improved.
Operator: The next question comes from Yonah Weisz of HSBC. Please go ahead.
Yonah Weisz – HSBC Bank: Yes, hi there, good afternoon. Going back to Brazil and the drop in price there, would it be fair to say that perhaps Canpotex’s focus on moving quantities could somehow have effected that drop in price seen during the second half of 2Q? And further, from a strategic point of view with spot prices perhaps now close to $400 and the latest China contract at $400, does this not imply that contract possibly will take a step down from here? Historically the gap between spot and price, let's say $50, is that something which you’re comfortable in attracting, a down step in the contract price or perhaps something which you're trying to resist? Thank you.
William J. Doyle: Thank you. First of all, when it comes to China, we have our people out there negotiating. So I'm not going to comment on what pricing we might or might not accept in China. We don't undercut our negotiators, never have and never will. I don't think that's very wise. So we don't comment on pricing during negotiations.
 :
Operator: The next question comes from Kevin McCarthy of Bank of America Merrill Lynch. Please go ahead.
Kevin McCarthy – Bank of America Merrill Lynch: Yes, good afternoon, Bill. Two questions on North American potash, first on inventories, they've been coming down pretty steadily since February. In your prepared remarks, I think you commented that it could be the lowest in years and 3Q kind of going into the quarter, I guess 15% above long-term average. So my question will be, how low do you think they can get and with the reduction given your own curtailments and those by others be sufficient to stabilize or reverse the pricing trend, let’s say by the end of the year. And then second question, just on North America, I think you made a comment that shouldn’t be construed as a mature market growth opportunity. Just wondering, if there is any kind of new data around soil testing or otherwise that gives you any increased conviction that North America will once again grow above trend.
William J. Doyle: Hi, Kevin thank you, I am going to ask Mike Hogan to just comment on the inventory projections for the rest of the year for us and then I’ll ask Stephen Dowdle to take up your question on North America.
Michael T. Hogan: Hi, Kevin. We are projecting with our curtailments in the second half of the year, the inventory levels sort of going to get down to 600 to 650 range.
William J. Doyle: Kevin what I’d say is, we think that’s the answer, if you’ve got a market that the Chinese we - look like they won’t conclude until the end of the third quarter, okay, we won’t produce it. Then if there is – and it’s typically during the third quarter you have a little slowness as you know, I mean that’s not the most vibrant period of our calendar year. And so you just that’s the response you produce less and hopefully that will have an impact. Stephen, how about North America?
Stephen F. Dowdle: Yes, the reason why we feel that there is growth opportunities in North America is if you look at what’s happened let’s say since the ‘70s and early ‘80s, at that time, we were basically maintaining the soil bank of potash. If you look at what was being removed by the crops and what was being applied, it was fairly balanced. Since that time, however there has been a significant draw down of the soil bank or soil fertility and really that was helped by increasing yields as we increased the usage of GMO varieties and we saw our average yields increase. We saw the nutrient removal increase, but yet we did not see potash applications growing, in fact they were stagnant, so we missed out on that growth needed to keep up with what was being removed. This situation has been verified by soil test, IPNI has done surveys of soil tests, survey for potash levels in soils and phosphorus levels in soils, they do wide surveys every five years and we have seen the results of these surveys, and we have seen the nutrient levels decline, and this is really the big push behind the eKonomics program that we have introduced, because we can quantify this and we can show growers, we can show dealers that there is a real opportunity for a positive return on investment by investing in Potash and achieving the yield potential that these GMO varieties can deliver to the growers. So that’s the basis of this growth opportunity. It comes from the fact that we have increasing soil that are deficient in potash and we have an opportunity for farmers to really reap positive economic returns if they increase their potash applications and increase their profits.
Operator: The next question comes from Don Carson of Susquehanna Financial Group. Please go ahead.
Don D. Carson – Susquehanna Financial Group LLLP: Bill, still trying to reconcile this volume strength we are seeing this year with price weakness. Is one necessary for the other that is potash, low potash prices needed to stimulate volumes because of the price elasticity of potash or is it this you referred several times to increased competitive pressures. And I know one of you peers, Mosaic is very positive on the demand as well as you are, but still sees effective global operating rate staying around 86%, just with Brownfield expansions. So that’s the case, how does this competitive dynamic change going forward?
William J. Doyle: Yeah, you don’t need a weaker potash prices to encourage volume that whole argument has been proved not to be true over many years. In terms of why have we seen some price pressures, I think the biggest reason is getting back to India again, when India isn’t functioning, if you look at some of the players who really depend on India, it makes them nervous quite frankly, we see that nervousness come out and whenever you have that situation and perception of maybe not robust global growth which I talked about we need that as we go forward, but if you think about what happens when there is this nervousness, there is the race to see who can be the worst marketer in the world. And there is some interesting approaches that we see, not just overseas but domestically as well, whether it’s consignment programs and the domestic market or people that are trying to do something fancy in the export market. But I think India is an important market for certain of our competitors. When that doesn’t function it kind of sets the stage for some of the silliness that we’ve seen.
Operator: The next question comes from Michael Piken of Cleveland Research. Please go ahead.
Michael Piken – Cleveland Research Company LLC: Hi. I was just wondering if we could switch over to nitrogen for a minute and just sort of talk about the production outages in Trinidad and kind of how you see your second half volume mix out of North America versus Trinidad and any updates on possibly a renegotiation of the gas contract. Thank you.
William J. Doyle: I’m going to turn that over to David Delaney and have him comment. Maybe Brent, you want to comment as well. They’ll tag team you Mike towards an answer to that.
David Delaney: Michael, year-to-date in Trinidad we have been curtailed by approximately 100,000 tonnes. There are further curtailments planned for Q3 and we’re going to take down a couple of our plants to coincide to that. So we don’t quite feel the pain. We think year-over-year it’s going to very similar. We are encouraged though this upstream integrity program should be complete by the end of the year and better utilization from the upstream producers in 2014. That’s what we’re being told. In addition, the NGCs are trying to enhance the gas transmission, distribution of gas. In Trinidad they are creating a buffer supply. That’s their intent. We’re seeing more investment by some BP and some of the other producers and there are some new producers coming online, some new production coming online in Q3, Q4 of 2014 by both BG and EOG. I’ll turn it over to Brent to talk about the domestic market.
Brent E. Heimann: Thanks for your question, Michael. On the domestic side, we’ll be running at 100% for the remainder of 2013, having the new tonnage, and Geismar has been a real benefit to our domestic sales and most of that’s going into the UAN market. So with the outage in Trinidad on our largest plant, which will be about a month in September-October, will be [full borne] [ph] in the U.S.
Denita C. Stann: Brock, we’ll have time for just one more question.
Operator: Okay. Thank you. Today’s last question comes from Matthew Korn of Barclays. Please go ahead.
Matthew J. Korn – Barclays Capital, Inc.: Thanks, everybody. Another question regarding China. Would a shorter term contract like a half year be possible or desirable at this point? And then secondly, quick on India, I think the June imports for potash, they’re actually were quite good. I think they took in just under 0.5 million tonnes. Is there any chance for optimism that maybe the good monsoon could provide perhaps a decent surprise for demand there?
William J. Doyle: I’ll comment on China and then I’ll ask Stephen Dowdle to comment on India, Matthew. We have a shorter term contract in China already. We have six months contracts. There is some speculation, obviously as I commented in my general remarks about China we expect a contract to be concluded by the end of this quarter and we have a high degree of confidence in that because, we have a dual obligation. We have an obligation to supply and our partner Sinofert has an obligation to take and they know that if they don’t take then we will change our marketing approach in China. And so, that’s very clear on both sides and we’ve been assured by Sinofert that they are going to perform here in the second half. They’ve just delayed the contract due to the amount of inventory that's in their system, which we understand. Steve, do you want to comment on India?
Stephen F. Dowdle: Yes, Matthew. You're very correct to point to the encouraging monsoon, and then this has certainly encouraged demand. It’s encouraged demand for potash. It’s encouraged demand for phosphorus as well. What I would say though is that relating to potash specifically, our customers in India and the fertilizer manufacturers they are absolutely sick in their hearts as to what has been going on in India. They know that an N-K ratio of nine to one is absolutely a tragedy for India. It's degrading their soils. They're not producing the kind of crops that they need to produce for their people and they are committed to see this thing turn around, and they are fighting on the political front to get it turned around, and they have the agronomic people working hard and we do remain very optimistic that on a go forward basis India is going to reverse this trend, and they're going to get their N-K ratio back into a more normalized range.
Denita C. Stann: Great. Well, thank you everyone. We appreciate your time today and if you have any further questions, please don't hesitate to call us at our office. Thank you.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.